Operator: Good morning, and welcome, everyone, to the Compass Minerals' Fiscal Fourth Quarter and Full Year 2025 Earnings Call. Today's conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Brent Collins, VP of Treasurer and Investor Relations. Please go ahead.
Brent Collins: Thank you, operator. Good morning, and welcome to the Compass Minerals' Fiscal Fourth Quarter and Full Year 2025 Earnings Conference Call. Today, we will discuss our most recent quarterly and full year results and provide some commentary on our outlook for fiscal 2026. We will begin with prepared remarks from our President and CEO, Edward Dowling; our CFO, Peter Fjellman; and our Chief Operations Officer, Pat Merrin. Joining in for the question-and-answer portion of the call will be Ben Nichols, our Chief Commercial Officer. Before we get started, I'll remind everyone that the remarks we make today reflect financial and operational outlook as of today's date, December 9, 2025. These outlooks entail assumptions and expectations that involve risks and uncertainties that could cause the company's actual results to differ materially. A discussion of these risks can be found in our SEC filings located online at investors.compassminerals.com. Our remarks today also include certain non-GAAP financial measures. You can find a reconciliation of these items in our earnings release or in our presentation, both of which are also available online. I'll now turn the call over to Ed.
Edward Dowling: Thank you, Brent. Good morning, everyone, and thank you for joining us today. I'll begin our call this morning by recapping our accomplishments for fiscal 2025. Compass Minerals today is a significantly healthier, more focused company than it was a year ago. The story of 2025 is primarily one of improving our financial position of the company and providing the foundation to pursue its back-to-basic business model. You'll recall that the company began last year with an excess amount of North American highway deicing salt following 2 milder winters. To address this issue, we made the deliberate decision to scale back on production ahead of the '24, '25 deicing season. The section, combined with more normal winter weather across our service markets allowed inventory levels to revert to more sustainable levels and provide a substantial release of working capital. That working capital dividend in turn, allowed us to delever during the year and reduce our net debt by 14% or $125 million. During the year, the company also took steps to rationalize its corporate cost base. In March, we carried out a sizable reduction in force and also made a strategic decision to wind down Fortress, company's fire-retardant business. These efforts contributed to a $25 million improvement in reported SG&A year-over-year, representing an 18% reduction. Our ability to demonstrate that we can generate cash reduced debt and cut costs contributed to a successful refinancing midyear that provided a number of positives for the company. First, that allowed for an amendment to our credit agreement that enhances our liquidity and provides more financial flexibility; second, it allow us to extend the maturity wall of our outstanding debt, these improvements in our debt structure provide us with time and flexibility to support our back-to-basic strategy. While the action is being taken to improve our financial position and foundation have been at the forefront, we've also been taking steps to improve the operational and organizational aspects of the business. In the Salt segment, the decision to curtail rock salt production following the '23, '24 deicing season resulted in an adverse impact to margins during 2025 due to the higher per ton cost profile. However, that negative margin impact is transitory and we have already ramped up both Goderich and Cote Blanche mines to more normal levels of production, which will result in a reduction of production cost per ton, all things being equal. Throughout the year, we progressed a number of initiatives to improve the operations of our salt assets in continuous improvement initiatives at the Goderich mine and Cote Blanche as well as an overhaul of our safety and program. The Plant Nutrition segment, our primary efforts have been centered on restoring the health of the pond complex it out of Ogden. Our SOP operation in Utah is similar to any other manufacturing plant in the world that it operates better when higher quality feedstock is flowing through the facility. The restoration of the pond complex will improve the quality of the material that goes into Ogden which improves how the plant operates and helps drive down costs. Pat will speak more in a moment about some of the work that we have planned for 2026. We expect further enhancements of the operations in Utah. Our results in fiscal 2025 are already reflecting these improvements with sales volumes growing up by 19% year-over-year. Adjusted EBITDA increasing by almost 107% during the same period to $35 million. From a leadership perspective, our executive structure and team have overhauled during the year. We took steps to simplify the organization as part of a reduction of force I referred to earlier, and we added the leaders whose skill sets and experience better aligned with our back-to-basics framework. As we reflect on the year, I think 2025 will be remembered as a pivotal year for Compass Minerals. We successfully reset the organization and establish a foundation that enables us to sharpen our focus on improving operations, enhancing profitability and reducing debt. Internally, we speak often about people, processes and systems. We are approaching all 3 of these with a mindset of continuous improvement and our focus on these will allow us to continue building on the progress we made this year. I am energized by the opportunities ahead and believe we're well positioned to build a sustainable value through back-to-basic framework. It's exciting time to be part of Compass Minerals. Before turning the call over to Peter, I want to acknowledge the efforts of our employees over the last year. Strategic pivots and transitions like the One Compass Minerals has been undertaking are both exciting and disruptive. Our workforce has embraced our new strategy, and I'm proud of how they've risen to the challenge. With that, I'll turn the call over to Peter for a review of our fourth quarter and full year results as well as a quick summary of our 2026 guidance.
Peter Fjellman: Thanks, Ed. I'll begin my remarks by discussing our quarter and year-end financial performance before providing perspective around our outlook for 2026. We posted consolidated operating earnings of $12 million for the quarter, which is an improvement from the operating loss of $30 million a year ago, which included noncash impairments in the Plant Nutrition segment of $18 million. Consolidated net loss was $7.2 million, which improved from $48 million net loss in the same period last year. Adjusted EBITDA grew significantly to $42 million for the quarter from roughly $16 million the year before. For the full fiscal year, consolidated revenue was approximately $1.25 billion, which was up 11% year-over-year. The company reported operating income of $25 million compared to an operating loss of $117 million last year. We posted a consolidated net loss of $80 million versus a consolidated net loss of $206 million a year ago. Both periods include noncash impairments related to our now terminated Fortress fire retardant business and fiscal 2024 also includes impairments related to certain write-downs in our Plant Nutrition business. Adjusted EBITDA for the year was $199 million compared to $206 million last year. The comparability of these numbers on a reported basis are impacted by the noncash gain related to Fortress contingent consideration liability write-down. Adjusted for these items, a modified adjusted EBITDA increased by approximately 4% year-on-year from $184 million to $191 million. Drilling down into the segment results. Salt business revenue in the fourth quarter was $182 million, compared to $163 million a year ago. Total volumes were up 13% compared to the prior period. While total pricing for the segment was down 1% year-over-year to approximately $106.50 per ton due to a shift in product mix. Highway deicing volumes increased 20% year-over-year, while C&I volumes declined 3% over the same period. From a pricing perspective, highway deicing and C&I prices increased 1% and 7%, respectively. Net revenue per ton, which accounts for distribution costs, decreased 1% to roughly $77.50. On a per ton basis, operating earnings came in lower year-over-year at $12.60 per ton, down 9% and adjusted EBITDA per ton decreased 7% to $23.43. Both of these measures reflect the impact of higher cost production flowing through the income statement with current sales. Those higher cost tons, the result of our decision to temporarily curtail production of our highway deicing assets ahead of last year's deicing season. For the full fiscal year, revenue totaled a little over $1 billion, up 13% year-over-year. These results reflect a more average winter compared to the weak 2023, '24 deicing seasons that we experienced 2 years ago. Highway deicing volumes were up 20% year-over-year to 9 million tons and C&I volumes were up 1% over the same period to 1.9 million tons. Total Salt segment volumes were up 16% year-over-year. Pricing dynamics were mixed year-over-year with highway deicing prices down 2% and C&I prices up 4% in 2025. Operating earnings for the year were $146 million, and adjusted EBITDA was $219 million. Both of these measures reflect the same adverse cost pressures related to our salt production curtailment that I spoke about a moment ago. I'll speak to this more in a moment, but it is important to remember that since we ramped up highway deicing production, cost per ton are projected to improve as we benefit from improved fixed cost absorption resulting from higher production levels. Moving on to the Plant Nutrition segment. The fourth quarter saw volumes dip 9% from the prior year period. Pricing was up 8% to $670 per ton. As Ed mentioned, we made good progress on our initiatives aimed at improving the cost structure in the segment over the last year, and this has resulted in improvements in profitability. Operating earnings have improved to approximately $100 per ton year-over-year and adjusted EBITDA increased to approximately $218 per ton over the same period. For the full year, volumes within the segment were 326,000 tons, which is a 19% increase year-over-year. The improvement in operations in Utah is providing more consistency and higher productivity at the plant, and this allowed us to serve business beyond our core markets in the Western U.S. and to sell down inventory during the year. Average pricing for the year was down approximately 4% to $634 per ton. Operating income per ton was $20 for the year, and adjusted EBITDA per ton was $107. I'll now spend a couple of moments commenting on the company's financial position before commenting on our guidance for 2026. To echo Ed's comment, the company is more stable today compared to a year ago. The key priority last year was rationalizing our North America highway deicing inventory position. At the end of September, those inventory values and volumes were lower by 33% and 36%, respectively, compared to prior year. We've taken a thoughtful approach as we built inventory ahead of the 2025, '26 highway deicing season. Our focus is on disciplined production planning and alignment within our sales forecast for the season. The refinancing transaction included in June, has set a financial foundation that will allow the company to build upon the organizational and operational initiatives that are already underway. The refinancing comprised of an amendment to our credit facility alongside a new note issuance. The amendment delivered 2 key benefits. First, it locked in the commitment level of the facility, $325 million for the full term of the agreement, eliminating the step downs that have been scheduled in the prior agreement. Second, it revised the leverage covenant from a total net debt calculation to a net first lien debt measure. Together, these changes enhance our liquidity and provide greater financial flexibility. In addition, the note offering extends our maturity wall by several years and therefore, affording the company additional time to execute our improvement and efficiency initiatives. The company's stability has been further strengthened by the resolution of several legal and tax matters. In 2025, the long-running class action lawsuit related to the alleged disclosure issues was settled and was fully paid by insurance. Subsequent to year-end, we also reached an agreement to settle the Ontario mining tax dispute related to tax assessments from 2002 through 2018. That settlement resulted in approximately $10 million net cash outflow after accounting for refunds we expect to receive once impacted federal and provincial tax returns are amended and filed. The resolution of these matters removes uncertainties that had been a source of concern for some stakeholders and now allows the company to redirect time and resources toward back-to-basic efficiencies. At the quarter, we had liquidity of $365 million comprised of $60 million of cash and revolver capacity of around $305 million. Finally, moving to our outlook for fiscal 2026. The range of guidance for total company adjusted EBITDA for 2026 is $200 million to $240 million. The range for Salt segment adjusted EBITDA in 2026 is $225 million to $255 million and reflects an expected improvement in adjusted EBITDA margins of approximately 200 to 300 basis points over full year 2025. This is being driven by stronger pricing and lower anticipated per ton costs that are largely the result of higher fixed cost absorption attributable to restoring production levels at the mines. The company refines these processes for forecasting salt volumes for this year. The company used a combination of factors, including historic relationships of sales to commitments, market data and historical weather-based trends for planning purposes. The primary motivation for changing the process is to more tightly align our production, sales and inventory processes. Based on the company's current view of these factors, sales volumes are forecasted to decline approximately 8% at the midpoint of guidance. Ultimately, sales will be driven by winter weather and how that drives demand in certain markets. For the Plant Nutrition segment, the range for adjusted EBITDA in 2026 is $31 million to $36 million. We are projecting lower sales volumes in 2026 for a couple of reasons. First, we think some market demand was pulled forward into 2025, which will result in a slightly softer market from a demand perspective in 2026. Additionally, we continue to focus on restoring the health of the pond complex, ensuring that we do not overharvest the ponds for an unsustainable short-term uplift to production. Despite the decrease in sales, we expect to generate a similar level of adjusted EBITDA in 2026 on higher pricing and improved cost structure. The guidance range for adjusted EBITDA related to corporate overhead and other is negative $56 million to negative $51 million. These results reflect the cost rationalization efforts began in 2025, and the midpoint of guidance implies an improvement of corporate adjusted EBITDA of approximately 15% year-over-year when accounting for the impact of the $7.9 million gain recognized related to the write-off of the Fortress contingent consideration liability in 2025. With respect to our capital program for 2026, total capital expenditures for the company are expected to be within the range of $90 million to $110 million, assuming a winter in line with our forecast. This level of capital investment is what we consider to be normal for a business on a regular basis. The increase in 2026 reflect the fact that we reduced CapEx in 2025 due to the slow start we had to the 2024, 2025 deicing season and our desire to align capital spending with our ability to generate cash flow. Balancing CapEx with cash flow remains important to us. and we'll continue to actively monitor that as the deicing season progresses. With the improved financial flexibility we have after last year's winter and refinancing, we now have the option to advance important capital projects even if winter is softer than our expectations. I'll now turn the call over to Pat, who will discuss some operational priorities related to our back-to-basic strategy for the year as well as some of the larger projects we have planned for fiscal 2026.
Patrick Merrin: Thanks Peter. As part of our back-to-basic strategy, we are focusing on a number of key operational systems in 2026. The first is implementing our fatal risk management system, which was launched in October. There is nothing more important than the safety of our employees and contractors, and this new system aligns with best practices in the industry. The next major effort we'll be working on is developing life of mine planning processes to give us a better ability to manage the capital and production plans, which will allow us to thoughtfully adjust production and costs based on market conditions. Lastly, we are implementing a maintenance system to focus on preventative maintenance and equipment reliability. These are all in an effort to create low-cost fit-for-purpose operations that can flex with the market conditions as required. On the capital front, at Goderich mine, the work planned for this year includes the continued construction of the Northeast bypass to allow for more direct access to the current production bases in the mine and the reopening of a utility corridor as well as completing the final mill design. We've made the determination that we will build a new mill rather than move the existing mill as has been discussed as an option in the past. This decision was made to align the capabilities of the mill with market opportunities as well as reducing project execution risk. These initiatives at Goderich are being done to more centrally position the mill to the shafts, and to allow us to abandon higher-cost areas of the mine, both of which should improve cost per ton in the future, all things being equal. Other major projects this year include a project to install a new dryer in the compaction process at Ogden, which will improve the yield and quality out of that facility as well as a project related to a new head frame at Cote Blanche. The balance of our capital program is normal course maintenance capital. With that, I'll now turn the call over for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] We'll go first to David Begleiter at Deutsche Bank.
David Begleiter: Could you address again the volume decline you're forecasting in highway deicing and whether that's a structural decline or maybe some sort of cyclical decline? Or how do you look at that number going forward?
Ben Nichols: David, this is Ben. I appreciate the question. I think 2 things to note. One is our commitment levels year-over-year were slightly up, which we had communicated previously. The reason you're seeing a decline in the forecasted sales volume is it's just a reversion to more typical winter assumptions. The prior winter operated at, call it, 95-plus percent of commitment levels. And our guidance moving forward is just a move back to more typical weather.
David Begleiter: Understood. In terms of the full year guidance range, what are the drivers do you think to get to the upper and lower end of that guidance, EBITDA band?
Ben Nichols: Yes, David, Ben again. I think the primary driver would be upside in winter weather. That's going to be the biggest impact to getting to the upper end of the guidance. And then obviously, any efficiencies that come with better market demand.
Edward Dowling: And I would add -- David, this is Ed. I would add consistent operations and success with our improvement efforts that are ongoing at the different mines.
Operator: We'll move next to Jeff Zekauskas at JPMorgan.
Jeffrey Zekauskas: Given that you expect your volumes as a base case to be lower in both segments year-over-year, does that mean that your inventories are unlikely to grow next year?
Peter Fjellman: Yes, this is Peter. So we continue to align our inventories and our production levels. to meet those demands and that range of demand.
Edward Dowling: Yes, this is Ed, we'll comfortably continue to manage our inventory in the company. Our objective is to use cash and retire debt. And we'll ensure that we maintain the proper level of inventory as we proceed along that path over the course of the year. So we're not planning on building inventory over and above kind of where we are. Does that answer that?
Jeffrey Zekauskas: To put it a different way, do you expect to use working capital in 2026 or not?
Ben Nichols: Yes. So I think the -- Jeff, this is Ben. And I think the way to think about it is there's time frames within our core business. One is the inventory that you're carrying through this season. And so as we think about our inventory profile through this season, call it, end of March, we feel pretty confident that we're fully aligned to our sales forecast. At that point, we'll make the decision as to how the winter informs the next season. and we will adjust our production planning and inventory strategy accordingly. So that's how I would think about it.
Jeffrey Zekauskas: And then in Plant Nutrition, why were volumes pulled forward? And how much of your volumes do you think were pulled forward?
Ben Nichols: Yes, Jeff, this is Ben. The exact number would be hard to pin down. Really, it was just a function of the way the market behaves. And luckily, we were in a good place at Ogden from a production stability standpoint, we had the inventory in place to go ahead and serve the business and monetize in fiscal '25. So it was a significant portion of the delta between the year-over-year variance, but I wouldn't give you an exact number.
Jeffrey Zekauskas: Were there onetime benefits in the fourth quarter in that your year-over-year, your projection for EBITDA next year is really no different than what you earned in '25, and you had obviously a very, very strong second half. Why are you making more in Plant Nutrition next year, as a base case?
Ben Nichols: Yes. Primarily, it's going to be the price upside you see in the P&L.
Operator: [Operator Instructions] And at this time, we have no further questions. I would like to turn the conference back over to Ed Dowling for closing remarks.
Edward Dowling: Well, thank you all for your interest in Compass Minerals. Please don't hesitate to reach out to Brent, if you have any follow-up questions. We look forward to speaking with you over the next quarter.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.